Operator: Good afternoon, ladies and gentlemen, and welcome to the Mogo's Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Thursday, August 7, 2025. I would now like to turn the conference over to Craig Armitage, Investor Relations. Please go ahead.
Craig Armitage: Thank you, and good afternoon, everyone. Just a few quick notes before we get started. Today's call will contain forward-looking statements that are based on current assumptions and subject to risks and uncertainties that could cause actual results to differ materially from those projected. The company undertakes no obligation to update these statements, except as required by law. Information about the risks and uncertainties are included in Mogo's Q2 filings as well as periodic filings with regulators in Canada and the U.S., which you can find on SEDAR+, EDGAR and you can also access via the Mogo Investor Relations website. Lastly, today's session will include several adjusted financial measures or non-IFRS measures. Please consider these as a supplement to and not as a substitute for the IFRS measures. You'll see that we've included reconciliations to those in the press release and in the investor deck that accompanies the webcast. And with that, I'll turn it over to Dave Feller. Go ahead, Dave.
David Marshall Feller: Thanks, Craig. Thanks, everyone, for joining. Q2 was a strong quarter across the board, profitable, high margin and structurally aligned with our long-term vision. We delivered net income of $13.5 million. Wealth revenue grew 48% year-over-year. Payments was up 23% and adjusted EBITDA margin expanded to 11.4%. We were also cash flow positive. Book value now stands at $81.6 million or $3.41 per share. Cash, marketable securities investments totaled over $50 million. We expanded our Bitcoin treasury strategy. Wealth AUM hit an all-time high of $462 million, and we began a regulatory process to offer crypto trading, positioning us to be 1 of only 2 companies in Canada to be able to offer both crypto and equities in one regulated experience. We also saw continued strength in European payments with Carta volume up 15% year-over-year in Europe, excluding the exited Canadian business. One of the most important parts of our long-term architecture is the way we're building value across both product and capital, what we call our dual compounding strategy. On the capital side, we began our Bitcoin treasury strategy in 2024. In Q2, we deployed $1 million into Bitcoin ETFs. And post quarter, we added another $1.4 million funded by proceeds from our WonderFi monetization. That monetization was close to $14 million, a real-world example of how capital appreciation is now a live part of our compounding engine. At the same time, we're working on embedding Bitcoin into our product stack across Wealth, Lending and Payments, making it not just a reserve asset, but part of how the system grows and self-reinforces. What sets this business apart is the behavioral foundation we've built it on. Our members aren't optimizing for activity, they're optimizing for discipline, and we're seeing that reflected in outcomes. Our top 10 members are now tracking towards over $2 billion in long-term wealth outcomes. That's not because of stock picking, it's a result of contributing consistently, holding over time and ignoring noise. On the business side, our Wealth AUM reached $462 million, up 18% year-over-year. And again, Wealth revenue was up 48%. Importantly, we're seeing a meaningful ARPU shift. While we're not spending on marketing today, new users are coming in at $20 a month versus $10 a month for our legacy base. That shift alone is driving strong revenue growth, and it gives us confidence heading into Q4 platform launch and Q1 2026 marketing ramp. We're now deep into building our new unified AI native platform for long-term investors. This isn't just a redesign, it's a full rebuild. And from day 1, we've been using AI to build it from product strategy to copy to UX to code with tools like cursor at the core of our development process. Every part of this platform is being constructed to reinforce behavioral discipline, not engagement. Most platforms today are optimized for trading activity and usage because that's how they monetize. Ours is different. We're a subscription- based model. We don't need users to trade. We just need them to hold. And that alignment gives us room to build the right thing. As Warren Buffett said, the most important quality for an investor is temperament, not intellect. We expect to launch V1 in this platform in Q4. Real-time AI integration will begin rolling out in phases post launch once the behavioral foundation is in place. In July, we began the formal regulatory process to enable crypto trading alongside equities. If approved, Mogo would become 1 of only 2 companies in Canada authorized to offer both in a single regulated account. To clarify, this is not about encouraging crypto speculation. We're launching this to drive -- we're not launching it to drive short-term activity or fee trading behavior, the model most platforms rely on. Our approach is consistent with everything we've built, behavioral discipline, long-term investing and alignment with our members' outcomes. Just as we've done with equities, we'll bring crypto into the experience in a way that reinforces temperament, not undermine it. Our flat subscription model means we don't need members to trade. Instead, we help them calibrate exposure thoughtfully and hold with conviction, not chase volatility. This is a Buffet mode applied to crypto, and it's why we believe this will be a structurally different kind of crypto offering. Platforms like Robinhood and Wealthsimple have scaled rapidly by optimizing for engagement and trading activity, but activity doesn't guarantee outcomes. And over time, outcomes are what matter. We believe this shift is already underway. We're not trying to dominate the market. We don't have to. Wealthsimple's last private valuation is almost 100x ours. We don't need to catch them. We don't even need to compete with them. We just need to serve the investors who eventually outgrow speculation. Even capturing a fraction of that shift would represent meaningful upside, and we're structured for it in our pricing, our platform and our philosophy. The next great investment platform won't be the ones that monetize attention. They'll be the ones that help people perform. That's what we're building. I'll now pass it over to Greg to walk through the financials.
Gregory Dean Feller: Thanks, Dave. Before I turn to financials, I just want to touch on Carta. Turning to our payment business. We processed $2.8 billion volume in Q2, which was flat year-over-year on a reported basis. But as Dave mentioned, we previously announced the decision to exit Canada at the end of Q1 to exclusively focus on Europe where Carta has been a pioneer in payments market. When you exclude the Canadian volume market, core European business was up 15% year-over-year on a volume basis. In other words, we replaced a 13% revenue exit with 15% growth in the market we're scaling. With our full OCI migration now complete, Carta is operating in a modern infrastructure stack that improves both scalability and cost efficiency. And longer term, we see an opportunity for Carta to play a role in stablecoin-based payments aligned with broader shift to real-time blockchain-based settlements across fintech. Now I'll walk through our Q2 financial results, which reflect the progress we made across both operations and capital allocation. In Q2, we delivered strong year-over-year growth in both Wealth and Payments, up 48% and 23%, respectively. Gross margin expanded to 72%. Net income came in at $13.5 million, and we were operating cash flow positive. We also delivered an adjusted EBITDA margin of 11.4%, reflecting both operating leverage and capital discipline. Our growth is being driven by the right segments. Wealth and payments are both scaling organically. And importantly, within Wealth, we're seeing an ARPU shift towards higher-value users. We're not spending to acquire right now, as Dave mentioned, but new users are coming in at meaningfully higher ARPUs, while legacy lower-value users continue to churn. The mix shift is driving revenue growth without adding costs and positions us for strong unit economics when we plan to begin broader marketing of our intelligent investing Wealth platform in Q1 of '26. On the profitability side, we delivered adjusted EBITDA of $1.9 million, up from $1.1 million last quarter and $1.4 million a year ago. Margin also expanded, as I mentioned, to 11.4%. We're also operating cash flow positive again this quarter, a key indicator that we can self-fund core growth while also executing our capital strategy depending on our growth ambitions. Turning to the balance sheet. We ended the quarter with $50.8 million in cash and marketable securities and private investments or about $2.10 per share. Our investment portfolio, which will increasingly reflect our Bitcoin strategy currently includes high- quality holdings in companies like WonderFi, Gemini and Hootsuite. While our Bitcoin reserve is still in early stages, crypto-related investments now represent close to 80% of our total investing holdings as of quarter end. Supporting this position, our book value at quarter end stood at $81.6 million, or $3.41 per share. When you compare those data points to our $54 million market cap, the disconnect is clear. And when you also consider that our operating business is approaching a $70 million annualized revenue run rate with high growth contributions from wealth and payments, that disconnect becomes even harder to justify. We believe we're operating one of the most attractive and strategically important segments of the market with an increasingly deep mode and long-term tailwinds firmly behind us. As long as we continue to execute and deliver, we believe the market gap will close. In the meantime, our balance sheet is strong. It's strategic. It gives us flexibility to invest with conviction, adapt when needed and compound value over the long term. Finally, let's revisit our Bitcoin treasury strategy, a key part of the structural foundation we're building at Mogo. We launched this strategy in 2024, a reminder we are one of the first public companies in the U.S. to actually put Bitcoin on our balance sheet when we added that back in 2020 after MicroStrategy and Block and before Tesla. And in Q2 of '24, we decided that we're going to expand on that. And this quarter, we expanded both at scale and strategic intent. We think of this in 3 layers. At the base layer, our Bitcoin reserve. This is a long-term sort of value and capital benchmark. In the middle, our regulatory infrastructure, where we're working to become 1 of only 2 regulated platforms in Canada offering both equities and crypto. And on top, our product integrations, including plans to launch a flagship 60-40 equity Bitcoin portfolio, BTC back lending and stablecoin-enabled payment infrastructure. This is more than an investment is a compounding system, platform integration, fuels user growth, which drives operating income, which funds treasury expansion and future capital gains and that in turn reinforces the reserve. We're still early in our Bitcoin deployment and that's intentional. Our near-term focus has been monetizing our stake in WonderFi, which is in the process of being acquired by Robinhood. After quarter end, we monetized just under 50% of our WonderFi position for approximately $14 million in net proceeds and immediately deployed over $1 million into additional Bitcoin. It's not a statement, it's execution and it's a real-time example of our dual compounding model at work. This is how we intend to build long-term value structurally, repeatably and with discipline. With that, I'll turn it back to Dave.
David Marshall Feller: I think we're ready to open it up for questions.
Operator: [Operator Instructions] The first question comes from Scott Buck at H.C. Wainwright.
Scott Christian Buck: I'm curious, how do you prioritize or balance the accumulation of Bitcoin for the balance sheet versus using that same cash to reinvest in some of your high-growth business verticals? Is it one or the other? Can you do both? I mean, how are you thinking about that?
Gregory Dean Feller: Yes. Thanks, Scott. So our plan is to do both. But remember, our overarching framework is using Bitcoin as a hurdle rate. So if we believe that we can get a Bitcoin like or higher return in our core business that will be the hurdle rate to invest money there. Right now, we're currently operating fairly close to the cash flow breakeven. And so with the proceeds from the WonderFi transaction and our continued focus on monetizing other pieces of that portfolio, we're going to have significant cash and liquidity available to, we believe, do both invest in Bitcoin and the business. And the way we'll do that approach that initially is that if we believe that we have high -- we can meet the hurdle rate in our core business for Bitcoin, but we don't believe that we really need to use all the excess cash on our balance sheet for that business, then that, by definition, frees up money for Bitcoin. And obviously, the fact that we've started to make those investments in Bitcoin tells you that we believe we've got ample liquidity to do both. But again, Bitcoin will be the hurdle rate that we look at going forward as we consider any investments with cash from our balance sheet.
Scott Christian Buck: Great. That's helpful. Given your liquidity position and kind of anticipated liquidity position, how are you thinking about or what's your appetite for potential M&A to accelerate growth in maybe Wealth or even Payments?
Gregory Dean Feller: I think we're always open to M&A. I mean, we've done a number of transactions over the years. I mean our Wealth business really started with an acquisition years ago. That business has been radically transformed since then, but really that's what got us into that business. Obviously, that's also what got us into payments. And even the WonderFi monetization was from investments we made in the crypto space early days. So we're not shy about doing that. But I think for us, would have to be pretty strategic because we believe that we've got a high return opportunity in both our core business today and in Bitcoin. So that would be the hurdle rate for any acquisition as well. So as I said, we've got the muscle memory and the skills at Mogo to do M&A, but it would have to be strategic and make sense and meet that hurdle rate for the areas that we're focused on.
Scott Christian Buck: Got it. That makes sense. On the crypto trading initiative, can you give us a sense of time line to work through the regulatory process? And does it require any kind of meaningful investment from you guys in terms of increased OpEx or anything to get through -- to get to approval, I guess?
Gregory Dean Feller: Yes. I think from a regulatory perspective, for Mogo to get fully licensed, remember, we're already licensed with the regulators on the equity side. So we think that actually helps us as it relates to going through the crypto side of the regulation. That regulation is probably a minimum of 6 months and can be longer depending on issues that may or may not come up. But that sort of gives you a sense of the direction. But it doesn't mean that in the -- in between there, there would be other opportunities potentially from a partnership perspective for us to execute partially on that crypto strategy as well. So I think we're exploring multiple sort of parallel paths. There will be some investment related to it, but we don't think it's a massive investment. We've got a lot of that infrastructure already in place for our existing wealth business, and so it makes it a lot easier for us to take that undertaking given that.
Scott Christian Buck: Got it. Okay. Great. And then if I could sneak one last one in. If you can talk a little bit about the lending business and how you see the environment and maybe what your plans are with that business here over the next 12 months or so?
Gregory Dean Feller: Yes. I think, look, lending has always been an important part of our business. We see it as a profitable cash flow-generating business, fairly high ROI business. And we've got 20-plus years of experience in that business. And we think that, that really -- the data that we have there, the experience we have there is an asset and a big moat. This is not an easy business to get into. As I say, it's easy to start lending. It's harder to get the money back if you haven't done that for a long time. And we've been doing this for 20 years. We've gone through cycles, including the global financial crisis. So we do expect that -- I mean, we grew the loan book this quarter. So I think our goal is that, that business is supportive of growth, but i.e., not a drag on growth but not our primary focus to drive growth. Wealth and Payments will be our primary focus to drive growth with the lending business, supporting that and we're going to continue to be pretty disciplined on how we grow that business. But the business is performing well and we like what we see. So I think we're going to continue with sort of our current path today.
Operator: [Operator Instructions] There are no further questions. I will turn the call back over to the presenters.
David Marshall Feller: Okay. Well, again, thanks, everybody, for joining us on our Q2 call. We look forward to updating you again post our Q3 earnings. Thanks again.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.